Operator: Greetings and welcome to the Penn National Gaming Third Quarter Earnings Call. [Operator Instructions] I would now like to turn the conference over to Mr. Joe Jaffoni, Investor Relations. Please go ahead. 
Joseph Jaffoni: Thank you, Kamika. Good morning, everyone, and thank you for joining Penn National Gaming's 2019 Third Quarter Conference Call. We'll get to management's presentation and comments momentarily as well as your questions and answers, but first I'll review the Safe Harbor disclosure.
 In addition to historical facts or statements of current conditions, today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which involve risks and uncertainties. These statements can be identified by the use of forward-looking terminologies, such as expects, believes, estimates, projects, intends, plans, seeks, may, will, should or anticipates or the negative or other variations of these or similar words or by discussions of future events, strategies or risks and uncertainties, including future plans, strategies, performance, developments, acquisitions, capital expenditures and operating results. Such forward-looking statements reflect the Company's current expectations and beliefs but are not guarantees of future performance. As such, actual results may vary materially from expectations. The risks and uncertainties associated with the forward-looking statements are described in today's news announcement and in the Company's filings with the Securities and Exchange Commission, including the Company's reports on Form 10-K and Form 10-Q. Penn National assumes no obligation to publicly update or revise any forward-looking statements.
 Today's call and webcast will include non-GAAP financial measures within the meaning of SEC Regulation G, when required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today's press release as well as on the Company's website.
 With that, it's now my pleasure to turn the call over to the Company's CEO, Tim Wilmott. Tim? 
Timothy Wilmott: Thank you, Joe, and good morning, and welcome to our third quarter 2019 earnings call. After I provide my introductory comments, it will be followed by our Chief Operating Officer, Jay Snowden, and then our Chief Financial Officer, B.J. Fair to provide their respective comments and then we'll open up the call to questions.
 First, I'd like to talk about our third quarter performance. We delivered EBITDAR of $407.9 million against guidance of $408.8 million. The $900,000 offset is primarily driven by the performance of our Plainridge Park license given the effect of heavy promotional spending we're seeing out of our new competitor in Boston.
 We had slightly less EBITDAR results out of Plainridge Park than we expected when we provide guidance. Other than that, we had a very solid third quarter. In fact, if you look at our EBITDAR margins, we delivered a 100 basis point improvement year-over-year on our profit results.
 I did want to highlight operationally and Jay is going to give more color after me that we certainly are seeing a trend that we've reflected now in our third quarter results and our fourth quarter guidance that we continue, especially in our newly acquired properties to refine our marketing reinvestment at the lower-end of our rated segment.
 And the results has been lower revenues than we expected, but improved profitability. So that's why we provided guidance in the fourth quarter on the net revenue side below what we previously provided, but maintained our EBITDAR number for the fourth quarter based on our continued refinement of our marketing reinvestment, which is in large part how we're delivering higher EBITDAR margins.
 Moving on to an update on Pinnacle Synergies, they remain unchanged, $120 million in costs synergies half to be realized in 2019 and the other half in 2020. Revenue synergies between $15 million and $20 million to be realized in 2020 and 2021. I did want to highlight that in the third quarter we were successful in implementing our mychoice reward program among all of our newly acquired properties with the exception of Greektown, which will be in the first quarter of 2020.
 Update on Sports Betting. I'm pleased to report that we opened up prior to football season, retail sports book operations in Council Bluffs, Iowa, East Chicago, Indiana and Lawrenceburg Indiana. And they've proven to be a very successful openings in all three of those locations.
 A couple of weeks ago we opened up our retail sports book at the Meadows Casino in Western Pennsylvania. And we also in the third quarter launched our, iCasino product, real money gaming internet product in Pennsylvania with encouraging early market share results. I would want to caution given the high tax rates in Pennsylvania that they'll have modest EBITDAR results, but we did successfully launch that product in the third quarter.
 Also in Pennsylvania, we continue on the category for casino development in Morgantown. We're under construction, steel is up in the air and we will begin construction in York, Pennsylvania very, very shortly. Both of those category for developments are expected to open in the fourth quarter of 2020. And to remind everyone the combined investment for both is about $230 million and that's inclusive of the license fees we've already paid the state of Pennsylvania.
 Finally, I want to touch on, as we've mentioned in previous calls, our free cash flow generation and how we're utilizing that free cash flow. Pleased to report that we reduced traditional debt by almost $100 million in the third quarter of this year.
 Our leverage on traditional net debt is now 2.5 at the end of the third quarter. And our lease-adjusted leverage is now 5.6 as we continue to work our way down to the low fives, 5.0 by the end of 2020. I'll be back to answer questions the audience may have after we hear comments now from Jay and BJ.
 Jay? 
Jay Snowden: Thanks, Tim. Good morning, everyone. We're pleased to report third quarter EBITDAR results that were largely in line with consensus and guidance. This despite a couple of weather-related headwinds in Council Bluffs and Lake Charles due to continued flooding as well as construction disruption at our Meadows property in Pennsylvania. And as Tim mentioned, an elevated promotional environment in Massachusetts, initiated by a new entrant to the market. All of this was offset by solid performance from our best-in-class operators across the rest of the portfolio. And our hats are off to them once again.
 Moving to a couple of mychoice updates as well as database trends. mychoice, as Tim mentioned, is now live across all of our regional assets with the exception of Greektown, which is coming soon in 2020. mychoice is also live and fully integrated all of our retail sports books in West Virginia, Pennsylvania, Indiana and Iowa, as well as with our real money iGaming, iCasino product in Pennsylvania, HollywoodCasino.com. And we believe this is helping to drive impressive early results in trial in all cases.
 Database trends in the third quarter were consistent with prior quarters, spend per visit was higher year-over-year across all of our worth segments. Visitation was softer at the low end worth segments due to our continued focus on profitability while solid everywhere else. Lastly, and importantly, we continue to see growth from the unrated statement of our database.
 Now transitioning to more detail on sports betting, in the sports books that we have been open now for over a year such as our Charles Town property in West Virginia, we're seeing significant year-over-year growth over 50% in sports betting handle and win through the first two months of football season. Though I would note last night it was not kind to us the Charles Town with the local Washington Nationals winning the World Series. The introduction of sports books, to no one's surprise has not had a noticeable impact on our slot business.
 However, the opposite is certainly true with regard to table games. Our properties that have been live with retail sports books in the last 15 months have experienced an average of 15% year-over-year growth in table game revenue post-launch. Food and beverage covers and revenues have also been positively impacted at the properties. And perhaps most encouraging is how complementary and incremental this sports betting demographic has been to the profile of the vast majority of the customers in our existing retail casino database. In fact, most of the table games and food and beverage growth at these properties has been driven by visitation and spend from new and reactivated guests to our properties.
 And finally, while still early, we are pleased with our initial market share results with our iCasino product in Pennsylvania. We were the first to go live and we are fully integrated with our player-affinity program, mychoice. So you can now earn, bank, port and redeem your points, excuse me, online or at our retail casinos across the country. Though the high tax rates in online casino business in Pennsylvania make it extremely difficult to generate profits as Tim mentioned, we have been one of the early market share leaders while maintaining tremendous marketing, promotional and reinvestment discipline, which we will continue to do.
 With that, I'm going to turn it over to B.J. 
William Fair: Thanks, Jay and good morning, everyone. Before I provide an update to our guidance, I wanted to address an item that changed in our earnings presentation. We will no longer be utilizing the adjusted EBITDA after lease payments metric. This is primarily an internal performance metric utilized by the company. We are still providing and guiding to adjusted EBITDAR, which is consistent with our best practices and it's consistent with other gaming companies that have triple net leases.
 We will also continue to provide you with a total amount of cash payments made to our REIT landlords. There's been no change in the composition of the reporting segments in our EBITDAR reporting. And at the segment level, the EBITDAR reporting is consistent with best practices. So on to the guidance, the detailed fourth quarter guidance and updated full June 2019 guidance is included in the release. The updated revenue guidance for the full year has been reduced to $5.311 billion.
 The decrease reflects the refinements to our marketing reinvestment strategies targeted at the low worth segments of our database discussed by Tim and Jay, the results in lower revenues without impacting profitability. The adjusted EBITDAR for the full year is estimated to be $1.6 billion. We are reaffirming our fourth quarter guidance outlined on our last call combined with our year-to-date results through the third quarter.
 Our total lease payments for the year, including three GLPI leases and the two VICI leases are forecasted to be $870 million. As we previously reported, we expect to incur full escalation in November under the Penn Master Lease of which $900,000 will be incurred in 2019. With respect to the amended Pinnacle Lease which completed its lease year on April 30. We've completed GLPI's audit review for the Pinnacle Master Lease properties. Under Penn's accounting policies, shared service expenses are allocated to the properties. Subsequent to the acquisition, we applied our accounting policies to the Pinnacle properties which was different than how Pinnacle had historically addressed the allocations.
 The parties have come to an agreement on the treatment of these expenses for the prior lease year, which will result in an increase of the coverage ratio to 1.81, which will equate to an increase in the lease payment of just under $1 million of which $650,000 will be incurred in 2019. As of the completion of the Meadows Lease year on 9/30/2019, we incurred full escalator of $752,000, of which $188,000 would be realized in 2019. The implied trailing 12 months rent coverages as of 9/30/2019 for the GLPI leases are as follows.
 The Penn Master Lease was 1.91, the amended Pinnacle Master Lease was 1.75 and the Meadows Lease was 2.06. Free cash flow generation for the years estimated to be $413 million and net free cash flow after mandatory debt payments and other obligations is expected to be $324 million. The increase in our free cash flow from last period is almost entirely due to a reduction in maintenance CapEx expenses where completion or payment of some projects were just pushed to next year.
 Cash on hand as of 9/30/2019 was $407 million, our lease-adjusted net leverage ratio as of 9/30/2019 was 5.6. Our debt reduction efforts remain on pace to return to our target leverage ratio of 5.0 times EBITDAR by the end of 2020.
 And with that, for the last time, I will turn it back to Mr. Tim Wilmott. 
Timothy Wilmott: Thanks, B.J. Operator, we're now ready to take questions from the audience. 
Operator: [Operator Instructions] Our first question is from the line of Carlo Santarelli with Deutsche Bank. 
Carlo Santarelli: I know you guys provided a little bit of color on kind of the marketing refinements and whatnot, but if we look at your combined results from last year and your results presented this quarter on an apples-to-apples basis and make some small adjustments for Casino Rama, it looks like your margins improved about 180 basis points year-over-year. I was wondering if maybe you could talk a little bit about how much of that has to do with some of the other things that you have going on and relative to kind of the marketing refinements that you're making. And maybe how much Meadows in the quarter and the headwinds that you're seeing there kind of weighed on the aggregate margins? 
Jay Snowden: Sure thing, Carlo. The majority of what you're seeing on the margin improvement and the incremental EBITDA year-over-year is certainly due to the synergies that we've been working on. There is a portion beyond the synergies that has been completely related to our efforts on continuing to refine our marketing reinvestment and drive more profitable visitation to our properties at those less than $100 average daily theoretical worth segments. So it's really, those are the two components and certainly more skewed towards synergies, but both are certainly having a positive impact on overall margin improvement on a year-over-year basis, when you look apples-to-apples. With regard some of the headwind -- 
Carlo Santarelli: Jay, I'm sorry, I said that -- 
Jay Snowden: I called them out during my introductory comments, Meadows construction disruption and we probably should have mentioned it previously. We are investing over the course of this year about $10 million in casino and food and beverage entertainment as well as the retail sports book additions to the property there. And it just ended up culminating in August, September and October with more disruption than we anticipated. So the Meadows, the flooding with in regard to Tropical Storm Imelda in Houston impacted our Lake Charles property, continued flooding impact at Council Bluffs and then, of course, the impact at Plainridge. Each one of those run in the range of $1.5 million to $2.5 million of impact, most of those are one-time specific to the third quarter. Plainridge is a TBD, as we continue to see what adjustments Encore makes as we move forward. 
Carlo Santarelli: Sorry, Jay. I said Meadows. I'd actually meant Plainridge and you just addressed it anyway. Furthering on kind of the Plainridge stuff, have you seen, obviously in the 3Q, there were challenges and quite a bit of promotional activity. Have you seen that start to dissipate a little bit here more recently or does that remain pretty steady? 
Jay Snowden: It's been steady. Unfortunately, Carlo, I wish the answer was different and we are optimistic that it will be different soon. It's hard to imagine that these are reinvestment levels that are sustainable when you're focused on driving profits. So, but that's what I have today. Certainly what we've seen since they've opened is they've really elevated the levels of marketing reinvestment in the marketplace. And we'll see what happens in the fourth quarter and as we head into 2020. 
Operator: Our next question is from the line of Harry Curtis with Instinet. 
Harry Curtis: Two quick questions. Following up on Carlo's question, what percentage of Plainridge's customers are really from a location perspective should remain your customers given the amount of time it would take to negotiate Boston traffic? 
Jay Snowden: Well, I'll answer that question a little bit differently here. I think getting to the same point, we had anticipated that the impact from Encore to our Plainridge facility, we'd be somewhere in the range of 10 to low teen percentage on the top line. It's been closer to 20% as you've seen from the publicly reported numbers. And we've actually done quite well in terms of retention with our known database customers. The customers that we have lost in a more significant percentage had been the customers that were unrated. And that is largely due to the significant offers that I think are being flooded in the market right now to visit Encore in its first few months. So we'll see how that unrated business settles out over the coming quarters. But we're actually quite pleased with our retention on the database side. But overall the impact has been more significant than we anticipated. 
Harry Curtis: Do you think that it's reached a stabilized level? 
Jay Snowden: Well, we have not seen that level of reinvestment increase to answer your question over the last couple of months, but we have also not seen it declined. So at this point, we're just -- we're sort of looking at the reinvestment levels month-by-month. We have not seen any noticeable material change in approach since opening. 
Harry Curtis: Okay. And my second question was focus on a balance sheet and free cash flow. Given the amount of -- given your focus on paying down traditional debt, assuming no recession, it's conceivable you could be -- you could have no net debt by year-end 2021 or very little. Is that a fair estimate? 
William Fair: I mean, yes, I think once we obviously continue to pay down past our 5.0 we will be at a sub 2 on a traditional debt, just a little over 1.5. And I think at that point, we would have to make a determination based upon exactly what the stock price is and what else was the appropriate use of capital is. But the answer is yes, from our free cash flow generation, we could literally -- if we've applied all of our free cash flow to that, we could get down to that level. 
Timothy Wilmott: I think the message, Harry, is we know what we want to do between now and the end of 2020. And that that'll give us an opportunity at that point to make a determination and provide some direction on -- at that time where we think best use of our free cash flow will be. 
Harry Curtis: So far be it from me to lead the witness. But your free cash flow yield is over 15%. Do you have any preference as to how best to increase shareholder value? Given that your free cash flow per share could be approaching $4 a share by the time we get to 2021? 
Timothy Wilmott: Well, we hope Harry that through our deleveraging activities over the next four or five quarters that will be recognized by the investment community and our share price will reflect to that deleveraged balance sheet. And our free cash flow yield will be below 15% of what it is today. 
Operator: Our next question is from the line of Jared Shojaian with Wolfe Research. 
Jared Shojaian: So first question just on G&A stepped up a decent amount sequentially. Can you talk about what's driving that? And I guess, going forward, do you think there's any cost opportunities on the G&A side? 
Timothy Wilmott: Can you repeat the question, Jared? It was broken up a little bit at the beginning. 
Jared Shojaian: Sure. Sorry. Yes, the question is on the G&A in the quarter stepped up a little bit sequentially. Can you talk about what's driving that and going forward, do you see any opportunities to reduce this? 
William Fair: Jared, I think our corporate G&A if you take a look on a pro forma basis on combined between the two companies. I think that we actually are down a little bit sequentially on a quarter-over-quarter basis. 
Jared Shojaian: Okay. Yes. I'll follow up offline. So I want to ask then about the South segment, which was really strong, despite some of the weather that you talked about. Can you just talk about that? And then specifically as you look at, I guess Louisiana and Mississippi in that segment, right now, Mississippi I think is performing quite well. Can you talk about what you're seeing in Louisiana? Do you think Mississippi is taking market share because of sports betting right now? 
Timothy Wilmott: It's a good question, Jared. We're seeing improved results in both states. So I would lean toward, that's not what's occurring here. If you look at the South region property-by-property in the third quarter, what the exception of Lake Charles, which as you know, has been impacted by the I-210 bridge construction, which concludes in December. The rest of the properties showed meaningful growth top line and bottom line. So we just had a really strong quarter both in Louisiana and Mississippi. It helps that we have now anniversaried as you know, the smoking ban in Baton Rouge. Baton Rouge results have been very good for us. Margaritaville acquisition has been terrific and our properties in Mississippi, even some of the more legacy Penn properties that have been in markets that have not been growing. We've been taking -- profitably taking market share, Tunica probably being the best example. As you know, we unfortunately had to close one of our three properties there, but the other two have really picked up that business and then some. So we're pleased with the results across Louisiana and Mississippi. 
Operator: Our next question is from the line of Joe Greff with JP Morgan. 
Joseph Greff: Two quick questions. One, Jay, you've talked for a while now about the lower net worth debt $100 ADT player and reducing those unprofitable visits. To the mid-teens level from 22% and potentially go into the high single-digit, I was just hoping if you continue to make progress there and you go to that sort of high single-digit percentage, what does that mean in terms of incremental EBITDA? And then my second question relates to balance sheet and then maybe taking advantage of the Trop and PSG and maybe looking at some -- one or both as means to further reduce balance sheet leverage outside of just taking internally generated free cash flow to pay down debt. Can you update us your thinking on those two specific areas and maybe a time table in which that thinking may have evolved to the point where you take action? That's all for me. Thank you. 
Jay Snowden: Sure, thanks, Joe. Good questions. Look, I hesitate to quantify the impact of taking those percentages down to the high single-digits simply because it's a continued work in progress and I don't have an exact timeline for when that will occur. We're setting goals at this point and as you just recounted, we were at the low 20% in terms of unprofitability for visitation at those low worth segments. We've got that now down into the mid-teens and we certainly set goals to get into the high single-digits. We continue to make progress. But it's a process and every market is a bit different in the tweaks that you're making to reinvestment and promotional spend are different in different parts of our portfolio. So I don't want to place a value or a timeline on that other than to say we're working on it. And you're going to continue to see progress, continuous improvement in that area.
 With regards to the balance sheet and potentially accelerating this deleverage story that Tim and I have been talking about now for the last couple of quarters. Look, we have a couple of wholly owns very valuable assets in our portfolio that we believe are not appropriately valued in our share price today. And there have been recent transactions both in Las Vegas on the strip as well as in the route operation business in Illinois at very attractive multiples and -- in both cases. And so we continue to receive some unsolicited interest in Prairie State Gaming as well as some of the land holdings that we have in Las Vegas at Tropicana. And so we're continuing to engage in those conversations. We'll see where they take us. We're encouraged by some of those conversations, but nothing's done until it's done. And but we would certainly consider if anything were to materialize in either of those cases to continue to delever faster than what we've laid out of getting our leverage down to five times on a lease-adjusted basis by the end of 2020. 
Timothy Wilmott: And Joe, given the fluidity of these discussions, it's impossible to put any kind of timetable on this. If something does obviously come to a conclusion, we'll certainly get that information out as quickly as we can, but it's as I said, a fluid process. 
Operator: Our next question is from the line of Felicia Hendrix with Barclays. 
Felicia Hendrix: B.J., since this is one of your -- if this is your last one, I'll start with you. And just on the topic of leverage and if I'm correct, it looks like you've changed the objective. You've improved it because from 5 to 5.5 and now it's 5. So that's not an insignificant change. I was just wondering if you could just walk through that, walk through your confidence to get to that level. And then especially, just given some of the commitments that you have, particularly growth CapEx in Pennsylvania, things like that. 
Timothy Wilmott: I should highlight Felicia, that this is my last call, but B.J., you're going to have the pleasure of hearing one more call in the first quarter for Mr. Fair. 
Felicia Hendrix: I did have the opportunity, the last call to say nice things. So it all goes around, right. 
William Fair: Thanks, Felicia. Felicia, I'm sorry. You caught me off and I was looking at somebody else's, the competence of going from 5.5 down to 5.0. I think we remain confident. We've always said that's been our target goal that's been out there. And as we've continued to look at and we've been focusing on the delevering, we do feel very confident to be able to get down to the 5.0 level. We're at 5.6 right now as we continue on with the next few quarters and continue delevering, we'll be well below that. And so I think we just really wanted to be, targeting to the street, we're very serious about the delevering and getting our balance sheet in order. And the 5.0 is something we feel very achievable about getting by the end of 2020 and it's consistent with as Jay just said, all the things we've been talking about previously. 
Jay Snowden: I think Felicia, we continue to get feedback from investors and potential investors about the concerns about potential recessionary pressures on our operating model. That's why we're now very specific that we want to get down by the end of 2020 to 5.0 to continue to derisk our balance sheet in light of those investor concerns. 
Felicia Hendrix: Okay. That's fair and helpful. Thank you. And Tim, I still have hits for you, just on the guidance, I think you said in your prepared remarks that the reduction in revenues is due to refining your marketing and that you've been very clear on that. But I'm just wondering, I think that's probably something you were already doing in July, so when you gave prior guidance, I'm just wondering what's changed between now and then? 
Timothy Wilmott: I think we probably should've said something previously because we saw those trends. And we should have signaled that there was going to be change in the net revenue numbers. And we didn't we're now absolutely certain in it, this is the direction. But we certainly should have considered that back on our prior call three months ago. 
Operator: Our next question is from the line of Steve Wieczynski with Stifel. 
Steven Wieczynski: Want to follow up to the last question that Felicia just had. But in terms of your marketing reinvestments and I understand you're not going to give any type of 2020 guidance at this point. But just wondering if you could give some high-level thoughts heading into next year and I assume you guys aren't expecting any material changes one way or the other around your core customer. But should we think about your top line a little bit more conservatively next year because of these changes around your marketing reinvestments. 
Jay Snowden: Steve, it's a great question. And we're continuing to learn as we go and work through our models. This is something that has been a significant focus of ours as you know, for most of 2019 and I do anticipate it will continue into 2020. So I feel comfortable that 2020 EBITDAR will not be impacted by these efforts in a negative way. But in terms of what you may have modeled from a revenue standpoint, you'll probably see a continuation of what you have seen in the last three or four quarters from Penn National Gaming. 
Steven Wieczynski: Okay. Got you. Thanks, Jay. And then want to go back to your commentary around the Trop and you talked about a possible monetization of the land or even an outright sale. But I guess the question would be -- just want to get a better sense of how you guys think, you would fare without a strip asset under your umbrella. And I guess what I'm getting at is your narrative a couple of years ago was all around needing a strip asset and this new strategy just seems like a little bit of a different approach. 
Jay Snowden: Sure. Steve, I would call it an evolution of our thought process. It doesn't mean that the hub-and-spoke model Las Vegas strip with regional assets across the country is flawed. We don't think it's flawed. We think that it does still make sense. That said given this convergence of interactive between sports betting and iCasino, which is quickly proliferating across the country, we think that it's going to be even more important for us to have a very localized omni-channel approach where you're engaging with guests both digitally as well as in brick and mortar casinos. So it doesn't mean that the Las Vegas hub and spoke won't work or isn't working. It just means that we believe that we are going to be very focused on moving customers around our network. And that's going to happen at a more local level across our 40 properties in 19 different States and across the interactive activities that we're offering our customers in the markets where it's legal. 
Operator: Our next question is from the line of David Katz with Jefferies. 
Cassandra Lee: This is Cassandra Lee at Jefferies asking for David. Can you help me paint a picture of the kind of investments in sports betting iGaming technology? What is it looking like going forward? And maybe talk about how you see yourself positioned given how competitive sports betting is getting? 
Timothy Wilmott: Sure. I don't have much to share in terms of color of -- on investments that we have or will be making in our interactive offerings. Stay tuned and to be determined nothing to share at this at this point in time. We do recognize that, we have an opportunity obviously having kept that primary skin or license in each of the 19 States where we operate under our own control. And one thing that we also recognize at Penn is that we don't have a sports brand to lead with. We have great casino brands, but we don't have a sports relevant brand today. And so we've been in conversations, continue to be in conversations with a number of potential sports media partners and we're encouraged by where some of those conversations are going. Nothing to share at this point. As Tim, mentioned those conversations are fluid as they are with Tropicana and Prairie State Gaming. So more to come potentially in the future. But we do envision having partners potentially that we will be thinking about how we can engage with their customers who are sports enthusiasts at this point. And then of course, once they become part of our sports betting database to introduce them to our casino products as well. 
Operator: Our next question is from the line of Thomas Allen with Morgan Stanley. 
Thomas Allen: So just thinking through 2020 and respecting that you typically don't give guidance till next quarter. Can you just help us with some of the puts and takes? The more idiosyncratic things that are happening. So for example, I know you're going to have some road closure issues around Charles Town, can you just highlight that and then anything else that we should be thinking about that could be potentially impacting the growth in 2020. Thank you. 
Jay Snowden: The only two notable worth mentioning, I think at this point, Thomas, and again we'll come with a lot more detail in February when we're providing guidance for 2020 would be the introduction of the new Monarch expansion in the Black Hawk market and continue to impact. It's difficult at this point to gauge what that impact is going to be in Massachusetts with Encore's current approach in the marketplace. I'm not sure what you were referencing about road construction. There's some minor road construction from Northern Virginia to the South of the property. But we have not gotten any indications that is going to be extremely disruptive. Maybe more to come, but nothing at this point. 
Timothy Wilmott: We also have the completion of the I-210 Bridge down in the Lake Charles market, which should be a positive for us going into 2020. And as Jay mentioned before, we'll have completed all of the work at the Meadows in early part of November. So the level of construction disruption that we've seen in the third quarter should be a positive impact with all the improvements we're making at the Meadows. Like I said, that'll be finished very, very shortly. 
William Fair: The only thing that is added to that, which again, we did not include in our fourth quarter guidance because we just don't know yet, is the arch hitting the bridge work down in coming out of the I-210, tend to [indiscernible] coming out of Houston. So that was something that we just don't know what potential impacts of that would be. 
Timothy Wilmott: The only other thing Tom, I'll say about 2020 is, I don't think for most cases we're not going to be absorbing any new competitive supply other than the Monarch improvements in Colorado, everything else should be a fairly stable supply situation in the markets we operate in. 
Thomas Allen: Thanks. And just a follow-up on that. I mean there's obviously some expansion on historical racing, any anything that we should think about a risk from that? 
Timothy Wilmott: Not in any of our key markets at this point. I know that Churchill has announced potentially doing something outside of Cincinnati on the Kentucky side of the state line. But I don't have any indication as to whether that would be a 2020 opening or impact. You may know more about that than we do at this point. 
Operator: Our next question is from the line of Barry Jonas with SunTrust. 
Barry Jonas: Just for starters, a clarification on the implied while on the Q4 guidance you removed wording around and impact from the Monarch expansion. Given that projects delay. So is there upside from that delay relative to your guidance and is that somewhat offset by maybe continued softness at Plainridge? 
Timothy Wilmott: I think Barry, that's the right way to think about it. We now have late latest information is that the Monarch expansion will open some time in late Q1. So that's why we took it out of our guidance detail for fourth quarter 2019. But yes, at this point we're still trying to really get our hands around what the impact longer term is going to be at Plainridge with Encore's current spending levels. 
Barry Jonas: Great. And then just, you talked a little bit about potential media partnerships for that first scan. We've seen some competitors use various partnership structures. I'm guessing this is fluid, but does Penn have any preference in terms of how to structure this potential partnership? 
Timothy Wilmott: Yes, great question Barry. We've been, we're students on this as well. We've been reading about these other partnerships. The devil is always in the details and some you can learn more about than others from press releases. I would tell you that the way we're thinking about a potential sports media relationship is that we want it to be fully integrated. And in an ideal scenario, you've got aligned incentives and mutual skin in the game to drive long-term success. So you can take from that what you will, but we're not looking to just announce an advertising deal with a big media company that's not our preferred route. 
Barry Jonas: Great. And just lastly, conceptually, clearly we see some States legalize retail but also mobile and a lot of States only retail for the time being. How do you think about the mobile sports betting opportunity to help drive players to your land based casinos or is it really just a separate business model altogether? 
Timothy Wilmott: Well, look, I would point to what's happened in the state of New Jersey where online casinos, well, online casino has now been legal for close to five years and online sports has been legal for about 15 months or 16 months. And what you see over the course of the first five years of online casino in New Jersey is that though it started off with a lower base around $175 million in the first year of revenue, it's been growing at about 20% per year.
 And the commentary from the operators in Atlantic City is that that growth has not come at the expense of their brick and mortar casinos. It's been incremental. And then what you've seen over the last 15 months in sports betting was legalized, both retail and mobile in New Jersey is that there is a positive impact to online casino as well. And that 20% compounded annual growth rate moved to 55%, almost 60% over the last 12 months.
 So, I think what that would tell you is that mobile sports betting is a great opportunity. In terms of it being an acquisition tool, you can certainly make money if the tax rate and the license fees are reasonable, but it also just becomes an acquisition tool and then you're in the process introducing those newer customers that tend to skew younger and more male than maybe your typical casino retail database customer.
 And they're engaging with table game products for the most part, Blackjack, Roulette, Craps, both online as well as back in the brick and mortar casinos. And that New Jersey model is the one that we are certainly most excited about because if you extrapolate what you've seen from New Jersey, and again, you have to make a lot of assumptions around what States legalize sports betting is that retail only, online and retail and then eventually is there an online casino legalization. But I think you see what the potential could be if you have the right sports betting both retail and mobile product and strategy and how that can positively impact your casino results as well. 
Operator: Our next question is in the line of Shaun Kelley with Bank of America. 
Shaun Kelley: I just wanted to go back to sort of maybe the broader shift in some of the promotional activity. So, if we look at, maybe one way to think about this is if we looked at the change in revenue guidance for kind of the full year estimate that you guys gave before. It sounds like there's some pluses and minuses per the last question on what your expectations were for Monarch relative to the incremental softness in Plainridge. So is it fair to assume that most of the revenue change or revenue delta that you made in the full year revenue guidance is really just from this kind of promotional tweaking and obviously sacrificing or changing revenue for margin? I think that's the way you characterized it. 
Jay Snowden: You're exactly right, Shaun. 
Shaun Kelley: So then Jay, the real question is this. If we kind of do the math on that, it would imply something like maybe a 1% to 2% type GGR impact. Is it, could it be that significant? Is that the type of level we're seeing across the portfolio at this stage? Because really what I'm trying to get my arms around is why, let's call it core same-store sales at this point in the kind of consumer cycle or an actually a little bit better in across the regional gaming landscape. And if it was a 1% to 2% headwind that would sort of bridge a lot for me and probably for some other investors as well but trying to kind of put a number around that. 
Jay Snowden: Yes, I think your range is probably pretty good Shaun. Probably more toward the lower end of that range, meaning maybe a one closer to a 1% impact of same-store sales growth. And what I would continue to ask everyone to focus on is that when you look at the database results, we're continuing to see growth in both visitation and spend per visit and the segments where, the whole 80:20 rule, where you make the majority of your profits visitation and overall behavior has been very positive and consistent over the last several years. And what's impacting this same-store sales growth figure that you're referencing, a potential impact is really at the low-end worth segments where we just generated too many unprofitable visits. And I think, we've been talking about this for several quarters. I think you're starting to hear some of our competitors talk about this as well.
 There's an opportunity and we're in the middle innings here. This is not towards the late innings to continue to move those visits to either become profitable visits or in some cases to eliminate some of those visits. We're not in the business of firing customers if they're unprofitable, that's our fault. And so we just, we're continuing to look at how we delay our offers and maybe a customer that was coming three times a month, but two of those visits were unprofitable. We'd much prefer that customer visit once or twice a month, knowing that they're going to be profitable visits when they do come and that there are still offers we can send them. That were really the ones that motivated their trip in the first place and maybe pull back on the ones that were less motivating but were certainly hurting and eroding the margins. So, I think you're going to continue to hear this story from us and likely are our competitors and regional gaming. 
Shaun Kelley: Great. Thanks, Jay. And then last thing for me, it would be, you kind of did a little bit of a supply overview. One area that's obviously in flux is what's going on in Illinois and so can we just get an update on, I think some of the jurisdictions are starting to do RFPs at least, but I think the ones that are most impactful to Penn's portfolio may not be at that stage yet. Can you just give us a kind of a quick update and timeline on what your expectations are in Illinois for new supply? 
Timothy Wilmott: Shaun, this is Tim. The communities are now in the process of providing their preferred developers to the Illinois gaming board right now. And the gaming board, from what I understand, has a fair amount of time to make decisions on where the licenses or licenses are going to go into and to whom. So, we don't expect any of this new potential supply in the Illinois, Chicago land market to affect us in 2020. Likelihood it'll be 2021 and beyond. We'll know more. I think probably in six months from now and as you know there's been some discussion that they have to go back in Springfield to amend the economic model that they messed up in the city of Chicago and that's probably going to occur sometime next year as well. So the Chicago casino I think is going to be far more in the distance than these potential additional Riverboat licenses or slots at racetrack. So that's our least, our read out at now that it's going to be a post-2020. 
Operator: Our next question is from the line of John DeCree with Union Gaming. 
John DeCree: Jay, I think you've probably talked about your marketing reinvestment program at length, but I was hoping to ask from a different angle when we talk with investors, there's certainly some concern that the cutback on these unprofitable customers are just marketing reinvestment could ultimately have a lasting or negative impact in the long run. I was wondering if you could talk a little bit about what you're seeing from the customers that at the lower tiers of your database, when you do cut back. I mean are those customers still coming? Are they going away for a while and then coming back on their own merits, I was wondering, maybe it's too soon to have any consistent data, but just your thoughts on that idea. 
Jay Snowden: Yes. Look, John, it's a good question and I understand the concern from the outside looking in. I would tell you that there's two things that we continue to look at as very important metrics or leading indicators as we make these marketing refinements. One is are we losing customers? And the answer to that is generally, no, we're not losing customers. We're just, we're seeing declines and visitation, but they're still visiting when they visit. They're coming in with less offers because we've made some tweaks in our overall promotional and reinvestment strategy with them. And when they come, that trip tends to be more profitable than it was historically. So that that's important is to continue to look at are you losing customers from your database or are you just changing the visitation patterns?
 And then number two, we're continuing to see healthy growth in our unrated segments. So, some of the customers who maybe have decided that, going from two or three offers down to one maybe they're not redeeming the offer that we're sending them. So we're obviously working on making sure we've got the right offer in their hand that motivates the visit. But we also are seeing some of that low-end rated business transition into unrated. And so that would tell you that they still do they look at us as a form of entertainment and there is still frequency in the casinos. And that unrated segment growth is something that I share on these calls every quarter. And we look at because it's very important, I think, to speak to the general health of the business as well as the consumers that you're moving from maybe lower worth rated into unrated. 
John DeCree: That's really helpful additional color. Thanks, Jay. One follow-up on the volumes you're seeing from the retail sports books. I think you've mentioned in your prepared remarks for the uplift in tables F and B given that that sports is rather new. I was curious if you could comment a little bit about the profitability of those new customers or those reactivated customers. I mean, we kind of look at the market as early days and probably needs a bit of marketing to get people aware about the sports book. So, I was wondering if you could talk a little bit about, you're seeing good revenue uplift in some segments. Is that coming in at some level of profitability right now? 
Jay Snowden: Well, sorry for the nuance answer, but as you know, we have different tax rates from one market to the next and in some markets the slot and table game tax rate is the same markets like West Virginia or Pennsylvania, there's a significant delta between the slot tax and the table game tax. So, it's kind of a mixed bag. To answer your question, I would tell you that we're not spending aggressively to bring these customers in and therefore when they engage with us and our casino products, it's unprofitable. It's largely incremental. So, there's some obviously some awareness efforts and advertising you're doing to make sure that you're distributing the news that you offer a sports betting products. But for us, we're seeing that when they come in to bet on sports, they're eating in the restaurants, they're engaging with us in table games. Sometimes there's a hotel stay and there's largely very little reinvestment against that behavior. 
Operator: Thank you, Mr. Wilmott. There are no further questions at this time. I will now turn the call back to you for your closing remarks. 
Timothy Wilmott: Thank you, operator. Again, thanks for your attention this morning on our third quarter earnings call. I think you'll continue to hear consistent results in what we're using with our free cash flow as we've talked about. I look forward into 2020 to being in the audience, listening to Jay and the team speak about our fourth quarter and year-end results for 2019 and the outlook for 2020. Again, thanks for your attention and have a great day. Bye. 
Operator: That does conclude the conference call for today. We thank you all for your participation and we ask that you disconnect your lines. Thank you and have a great day.